Operator: Welcome to CN's First Quarter 2017 Financial Results Conference Call. And I'll turn the meeting over to Paul Butcher, Vice President, Investor Relations. Ladies and gentlemen, Mr. Butcher.
Paul A. N. Butcher - Canadian National Railway Co.: Thank you, John. Good afternoon, everyone and thank you for joining us for the first quarter 2017 earnings call. We're here today in Regina, Saskatchewan, where we'll be holding our Annual General Meeting tomorrow. I would like to remind you the comments already made regarding forward-looking statements. With me today is Luc Jobin, our President and Chief Executive Officer; Mike Cory, our Executive Vice President and Chief Operating Officer; JJ Ruest, our Executive Vice President and Chief Marketing Officer; Ghislain Houle, our Executive Vice President and Chief Financial Officer. In order to be fair to all participants, I would ask you to please limit yourself to one question. I will be available after the call for any follow-up questions. It is now my pleasure to turn the call over to CN's President and Chief Executive Officer, Mr. Luc Jobin.
Luc Jobin - Canadian National Railway Co.: Well, thank you very much, Paul and welcome everyone to our first quarter results call. As Paul said, we're here in beautiful Regina and we're going to holding our Annual General Meeting tomorrow. And as we're looking outside the window, we can see snow and blowing wind. So winter here is lingering on through Saskatchewan and Western Canada. In any event, at CN, we deliver quarter-on-quarter, year-on-year. And so we continue to drive growth and performance improvements as well as results ahead of the economy and the competition, and we do so at lower incremental cost. So today, we're reporting the first quarter volume and revenues which are records and also translate into a 15% adjusted earnings per share growth. So, I'm very proud of the team and the great performance that we've been able to accomplish, as we accommodated some very strong volume in the first quarter. The team was nimble and was able to jump at the opportunities which JJ and his team brought our way. And so I think that these results are the work of a lot of our 20,000-plus railroaders which every day make a difference. So, let me just kind of give you three areas that the guys will expand on through the call, and then that we can engage a little bit more deeply and when we get to the question-and-answer session. So, JJ, in terms of the top line, will talk to you little bit about how broad based the progress is and how much we leverage our superior supply chain approach. RTMs were up 14%, so clearly a very strong start to the year and at the same time a very positive outlook on the balance of year. We continue to grow in key service-sensitive sectors. In fact, if we look at just one area on the grain side of the business, on the Western Canadian grain, we were able to deliver a 14% increase in the tonnage that we moved. We've also been able to maintain our inflation-plus pricing discipline. Mike will talk to you a little bit about the efficiency and the service levels which we've been able to achieve, while dealing with the strong volume. We faced real winter this year versus last year and certainly our network has demonstrated a lot of resilience. And that's thanks to a lot of the investments that we've done in infrastructure and in resources and he'll expand a little bit more on that. Our operating ratio at 59.4% is up 50 basis points versus last year, in spite of a heavy fuel headwind, which Ghislain will give you a little more color on. Speaking of Ghislain, he'll walk you through the financial performance in Q1, where, again, we showed our ability to deliver the top line growth all the way to the bottom line. So our adjusted EPS is up 15% versus last year at CAD 1.15. We also achieved some very solid free cash flow in the quarter and we continue to deploy our capital investment program for the year. In fact, we brought it up a little bit of a tick, about CAD 100 million, and Ghislain will give you more detail on that. Importantly, on the basis of these results, we are raising our guidance for 2017, both in terms of volume and earnings, and more color on that to come as well. So, without any delays and let me turn it over to Mike to give you the operating report.
Mike Cory - Canadian National Railway Co.: Thank you very much, Luc. Overall, I'm extremely pleased with the performance in the quarter by the operating team. And while I want to keep my comments brief and to the point, I would really be remiss if I didn't start off by just stating how proud and thankful I am for their continued efforts. These people truly make a difference at CN. Our team works diligently to improve on three key focus areas; they are safety, performance reliability and efficiency. These three key deliverables provide the platform on which we bring the operational and service excellence model to the supply chains we continue to grow the top line with, and allow for future growth to be accommodated in a cost-controlled manner. While our safety metrics were in line with winter expectations, they're far from what we believe we will achieve over time. Our FRA accident ratio was in line with the multi-year target, however it did increase compared to 2016. And while our main track accidents were down and our costs were in line with our record Q1 2016 performance, our capital work combined with our critical task observations continue to provide a far more robust network fluidity in this regard. Our injuries on an absolute basis were flat. However, due to productivity gains resulting in less man hours worked, our ratio increased. Both these areas are of the utmost focus for our operating team. And we've made excellent progress over the last 10 months in developing programs that are based on shared beliefs with our union leaders and employees. These programs will allow us the opportunity to fully embrace the culture of peer engagement, ensuring people leave from work in the same condition that they arrived. In terms of performance reliability and efficiency, as I stated in my earlier calls that the comparables for Q1 were very tough. Due to the dramatic drop in volume and weather-related exposure experienced in Q1 2016, I've added a comparison to a time period I believe is more similar in both cases. Q1 2015 represented close to the same weather characteristics in terms of cold and snow. And while it was 4% less volume on a GTM basis, it was as close as I could find to compare to the record volume we moved in Q1 2017. On a comparable basis for 2016, all productivity-related metrics have been improved upon, while the speed of cars, trains and terminal dwell were negatively affected by a combination of volume growth and winter conditions. However, when comparing ourselves to 2015, which again I believe is a more apples-to-apples approach, we've improved upon all the operating metrics. There's no doubt inclement weather affects terminal and road performance. It creates network stoppages, traffic bunching in and out of terminals, increases dwell on equipment, and it reduces velocity of cars and trains. We combat this with our approach to pinpointed investment. In the past, this has included AC powered locomotives, strategic capacity improvements and our industry-leading wayside health monitoring detectors, we improved from winter to winter. These improvements allow us to accommodate the growth that JJ and his team deliver through their hard work and their initiatives. And further, the improved reliability of the service offering provides top line growth opportunities for our supply chains to achieve. We set a record for grain car order delivery, spotting performance in Q1. Our merchandize car order fulfillment percentage was higher than 2015, even though we experienced delayed equipment returns from our rail partners in some cases and areas. We continue to see the top line opportunity through improved performance reliability. In closing, our network is extremely fluid, and we believe there are great things to come on all three fronts, the safety, performance, reliability and efficiency. Over to you, JJ.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you, Mike and good afternoon everybody. So the first quarter revenue was up CAD 242 million or plus 8% from last year. CN's AAR carload was up 9.1% versus the industry average of 4.3%, and our revenue ton mile was up 14%. The team, as Mike mentioned, did outpace the economy and the industry. The main positive drivers and there are many this year, are frac sand, international intermodal, retail domestic intermodal, U.S. thermal coal, grain, potash, automotive, natural gas, liquids and quite a few others. Paper, software and lumber were the only mainly disappointment. Fuel was positive on a reported revenue as it added CAD 31 million, but the stronger Canadian dollar was a higher negative headwind, taking back CAD 74 million. If we adjust revenue for exchange and fuel, they would have been CAD 280 million above last year or plus 9.5%. The all-in same-store price for the quarter was 2.7%. Now I'll provide you with some colors of the drivers of that growth in the last quarter, starting by giving you a point of view of how the operating team contributed with their nimbleness on flexing and pivoting on strong demand. First example is the Canadian grain. Our new Canadian grain plant because there was an increase of 14% in grain tonnage from the prior winter, CN outperformed the market and we moved 55% over the first quarter Canadian grain. Comparatively last year, we moved 51% of the grain in the first quarter. Mike's team also took over the rail switching operation of the Vancouver south for container terminal. Our international container revenue at Vanterm terminal increased by 150% and at the Centerm terminal increased by 30%, pretty spectacular result. Also the operating team really ramped up the capacity in our grains line in Wisconsin, the response of the surge in drilling activities all over North America, the result frac sand revenue was up 55% and volume ran at a record run rate. Now on the customers point of view from a color from that side, we on-boarded in January the new contract with Yang Ming, that's an international shipping customers line in Vancouver. We started to move some (10:56) new business in March which is a big box retail domestic customers, and we will onboard this month the Lowe's and Rona account, which is another big box retailer in Canada. For the three combined, this is in excess of CAD 100 million of new business on an annualized basis. And finally, taking a look at organic growth, from our organic commodity market, sand market expanded and produced an incremental CAD 35 million, crude is strong, potash is strong, two Conuma new met coal mine, steel, coking mine, have reopened on the CN Western network and our automotive business is running at record level. In conclusion, the end-to-end supply chain service resonate with customers and enable us to earn, maintain and grow shares of their logistic business. The outlook for Q2 is constructive. You will find the detail and summary on page 9 and quarter-to-date on an AAR reported basis week-16, our carload is up 13% and the RTM is up 19%. I will now pass it on to our CFO, Ghislain.
Ghislain Houle - Canadian National Railway Co.: Thanks, JJ. Starting on page 11 of the presentation, I will summarize the key financial highlights of our solid first quarter performance. As JJ previously pointed out, revenues for the quarter were up 8% versus last year, slightly over CAD 3.2 billion. Fuel lag on a year-over-year basis represented a revenue headwind of CAD 25 million or CAD 0.02 of EPS, driven by an unfavorable lag this year of CAD 10 million versus a favorable lag of CAD 15 million experienced in the first quarter of 2016. Operating income was slightly over CAD 1.3 billion, up CAD 86 million or 7% versus last year. Our operating ratio came in at 59.4% or 50 basis point higher than last year, driven by higher fuel prices which accounted for an increase of 260 basis point. For the full year, we expect that higher fuel prices will cause the operating ratio to increase by 50 basis point to 100 basis point, assuming WTI remains in the range of $50 to $60 per barrel. Net income stood at CAD 884 million or 12% higher than last year, with reported diluted earnings per share of CAD 1.16. Adjusted EPS was up 15% to CAD 1.15 from a year earlier EPS of CAD 1, excluding the impact on deferred income tax expense from the enactment of a lower provincial income tax rate this quarter. The impact of foreign currency was CAD 22 million unfavorable on net income or CAD 0.03 of EPS in the quarter. Turning to expenses on page 12, as Mike previously pointed out, we continued to make progress in the quarter in terms of efficiency gains, including disciplined cost management initiatives, while maintaining superior service. Our operating expenses were up 9% versus last year at just over CAD 1.9 billion, mostly driven by higher volumes and fuel prices versus last year. Expressed on a constant currency basis, this represents an 11% increase. At this point, I will refer to the variances in constant currency. Labor and fringe benefit expenses were CAD 580 million or flat versus last year as increased wages and health and welfare expenses were offset by higher capital credits and lower pension expense. On a full-year basis, expect pension expense to be roughly flat versus last year. Purchased services and material expenses were CAD 440 million or 9% higher than last year. This was mostly the result of higher repairs and maintenance cost, trucking and transload and outsourced services. Fuel expense stood at CAD 342 million or 51% higher than last year, as price was CAD 90 million unfavorable and higher volumes accounted for a CAD 26 million increase. These items were partly offset by a 3.2% improvement or CAD 7 million in fuel productivity. Depreciation stood at CAD 323 million or 7% higher than last year, mostly as a result of net asset additions. Equipment rents were up 11% versus last year, driven by increased car hire, partly offset by lower lease expense. Moving to cash on page 13, we generated free cash flow of CAD 848 million in the first quarter. This is CAD 264 million higher than in 2016 and mostly the result of higher cash generated from operating activities, lower cash taxes and lower capital expenditures. Finally, our 2017 financial outlook on page 14. We achieved record volumes in the first quarter, reflecting strong performance in most segments. We are building on this momentum and we'll continue to leverage our superior service which has provided us with the ability to gain market share in key customer service sensitive markets. We see North American economic conditions improving, with more favorable consumer confidence as well as a strong pickup in the energy sector driving shipments of frac sand, steel pipes and to a lesser extent, crude. So this environment should now translate into volume growth of approximately 10% in terms of RTMs compared to 3% to 4% previously for the full year versus 2016, with overall pricing remaining above inflation. Accordingly, we are revising our original guidance and now expect to deliver adjusted EPS in the range of CAD 4.95 to CAD 5.10 versus 2016 adjusted diluted EPS of CAD 4.59. We expect a strong second quarter in light of last year's trough (16:57) on the energy commodities, while the rest of the year and particularly the fourth quarter will face more difficult comps. On the capital front, we remain committed to reinvesting in our business to support safety, service and growth. In this regard, we are increasing our capital envelope by CAD 100 million to CAD 2.6 billion for the year, mainly driven by the acquisition of 22 new locomotives and other projects to support growth. Furthermore, we continue to reward our shareholders with consistent dividend returns and we are on track with our current share buyback program of approximately CAD 2 billion, having repurchased nearly 9 million shares for an amount close to CAD 800 million since last October. In closing, we remain committed to our agenda and continue to manage the business to deliver sustainable value for our customers and shareholders today and for the long-term. On this note, back to you, Luc.
Luc Jobin - Canadian National Railway Co.: All right, thanks, Ghislain. Well, as you can see, looking ahead, the CN team continues to see opportunities to build on our supply chain approach. You can certainly count on us to innovate and to improve our product, our efficiency and driving value for our customers, while at the same time investing in our franchise and providing superior returns to our shareholders. So the first quarter is a strong start to the year in what should be another great year for CN. On that note, we'll turn the call back to you, John, to entertain some questions.
Operator: Thank you, sir. The first question is from Cherilyn Radbourne from TD Securities. Please go ahead.
Cherilyn Radbourne - TD Securities, Inc.: Thanks very much. Good afternoon and congratulations on a very strong start to the year.
Luc Jobin - Canadian National Railway Co.: Thank you, Cherilyn.
Cherilyn Radbourne - TD Securities, Inc.: Unusual to see CN change guidance this early in the year. So I'm just curious if that was a subject of debate internally at all and what ultimately gave you the confidence to move this early in the year.
Luc Jobin - Canadian National Railway Co.: Well, I think we, as we looked at the business, Cherilyn, I mean, it was obvious to us that we were gaining great traction. And sometimes the first quarter is a little touch and go because the weather can play havoc and the visibility is not always as good as we'd like. What has come together is, I mean, JJ and his team continue to identify business opportunities for us. A lot of the sectors, we're actually kind of getting a little bit of a good tailwind from global situation in terms of commodity prices and other factors, and again, without any hesitation, the operating team jumped on it and delivered in spades. So we can see good momentum. And this wasn't really the subject of a lot of debate amongst the team. I mean, we looked at it, we called it for what it is. And usually, I mean, we've been known to be a tad conservative, but when we see it and we can touch it and we can feel it, we are confident that we can nail it. And so, with that in mind, that's why we raised our guidance. And at the same time, we decided to give you a little bit more precision around the guidance, so a little bit of a different approach, giving you a range, a quantitative range, which I think reflects what we think the year potentially could look like. So, hopefully, that'll be well received in terms of giving you guys a little more clarity. And I think we're constructive both in terms of looking at the full year in terms of the volume growth. And again, I mean, JJ and his team have been canvassing the business and the opportunities, and we have the resources. And we continue to improve on our performance, but we have the resources and we have the quality product that actually gives us the confidence to upgrade the guidance.
Cherilyn Radbourne - TD Securities, Inc.: Thank you. That's my one.
Luc Jobin - Canadian National Railway Co.: You're welcome.
Operator: Thank you. The following question is from Chris Wetherbee from CIGI (sic) [Citi] (21:23). Please go ahead.
Chris Wetherbee - Citigroup Global Markets, Inc.: Yeah. Hi. Good afternoon, guys. I wanted to touch on what you just mentioned there on the capacity side. So, understanding sort of the purchase for the locomotives and maybe a little bit of color on what types of opportunities you might be deploying those in, and then just thinking a little bit bigger picture about sort of the opportunity set for growth relative to the need for capital investment, I think we're running around 20% of sales. Just want to get a sense of maybe how we think about that bigger picture when you look at the big volume opportunity ahead of you?
Mike Cory - Canadian National Railway Co.: Chris, I'll take the locomotive story. It's Mike here. We've had such great success with the investment of our DP locomotives over the last few years, and further with the AC tractive effort, we've been able to increase the size of our trains and just create that natural capacity that we need to make the trains bigger, to grow at a control cost for the traffic JJ brings. Now, we're starting and we started to see it in the first quarter when – as volumes ramped up, there's areas we're going to need to look structurally at capacity, because we did take a bit of a holiday for the last year or so. But up to that point, like last year the capacity was there from a network perspective, it still is there and we're still focusing on those area to grow that business, but where we need to invest in the structure, we're looking at that. But it will all be dependent on where the traffic is coming, the traffic mix, and at what stage it's going to come. So...
Ghislain Houle - Canadian National Railway Co.: Yeah. Chris, it's Ghislain here. If I can add to Mike's comments on the locomotive. So we did have a one-time opportunity to acquire a Tier-3 locomotive, that as you know they're more reliable, they're more fuel efficient, and versus the Tier-4. So that was a good opportunity that we jumped on, looking at the volumes coming to us that these locomotives would support this volume going forward. And we do still have some locomotives in storage, they're older locomotives, and therefore with these new ones, we'll take the opportunity to take the older ones that we have in storage and cascade them into yard service. So, I think this is very good. We're very pleased with that. These locomotives are to be delivered starting in September. So, again, we will have them for the fall heavy intermodal and grain season and then obviously for next winter, so we're pleased about that. On the capacity front, we always are looking at where some bench points are. My team works very closely with JJ's team and with Mike's team to see how the volume is coming, where is it coming. And as you know, at CN, again, our first call on cash is always towards the business, and we haven't changed and that's what we're doing. And so we're monitoring this closely. And if we need some CapEx in terms of capacity, we'll be up for it.
Luc Jobin - Canadian National Railway Co.: Yeah. And Chris, I mean, just to close up on the issue. I mean as Ghislain said, we look at opportunities to continue to grow and develop our business. So, we're not moving away from roughly 20% of revenues in terms of CapEx as a general rule. But having said that, you know what, when we do see the opportunities for growth or the opportunities to bring more efficiency, more reliability, we have been known and will continue to do investments a little bit ahead. I'd like to be in a position to take on the business which JJ and the team bring us out there. And it's always best to be there at 5:00 to midnight as opposed to 5:00 after. Not the way that we continue to evolve the credibility of our products and we work hard to give our customers better and better service all the time. So, the last thing we want to do is to be in a position to disappoint them. However, things can be volatile out there, so we have to stay nimble. We don't want to go too far out nor that we want to be caught fall in short of expectation in the full business potential. So hopefully, that helps you gain more clarity around this issue. Thank you.
Chris Wetherbee - Citigroup Global Markets, Inc.: Yes. That's very helpful. Thanks for the time guys, appreciate it.
Ghislain Houle - Canadian National Railway Co.: Thank you.
Luc Jobin - Canadian National Railway Co.: Thanks, Chris.
Operator: Thank you. The following question is from Turan Quettawala with Scotiabank. Please go ahead.
Turan Quettawala - Scotiabank Global Banking and Markets: Yes, good afternoon. Thank you for taking my question. I wanted to start a little bit about the intermodal business. There is lot of port capacity, I guess, coming online over the next few months. Could you talk a little bit about how quickly you may be able to translate that additional capacity into volumes? And I think JJ, you also mentioned about some growth in the domestic business here with new customers, if you could provide that number of new business, again, that will be helpful? Thank you.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you, Turan, it's JJ. So the first thing we did though early in the year, we started to do with the switching ourselves from the south shore of Vancouver, where Centerm and Vanterm had available capacity today that we could exploit and therefore we're exploiting that in the first quarter and the second quarter. By the time we get to the summer, Deltaport and Dubai Port and Rupert will have the expansion come in, so you're roughly talking in both cases, 0.5 million TEU, rail capacity in both cases available for us to go and grow. Along that we are expanding our terminal in the U.S., we're expanding the terminal in Memphis, the one in Detroit, and we're also expanding Joliet. We'll also do some expansion in (27:05), so it's like playing baseball, where the port throws a ball and we have the capacity to catch the ball in the interline (27:12). On the domestic side, we did some gain with two large Canadian retailer, getting a piece of the contract (27:19) so we're extremely proud of the confidence that they've given us in giving us some of their business. We also earn all of the Lowe's and Rona, Canadian Lowe's and Rona business and other big box retailer in Canada. So in both cases, we're – again, it's a testament to the work that Mike is doing on the door-to-door service and that's a model which is – it includes also, as you know our CNTL, the trucking service at origin and destination. So, I hope that gives you a sense of what you were looking for.
Luc Jobin - Canadian National Railway Co.: And Mike doesn't – is not concerned about the pressure of taking on the new business, right, Mike?
Mike Cory - Canadian National Railway Co.: Not at all.
Turan Quettawala - Scotiabank Global Banking and Markets: All right. That's great. Thank you very much. If it – JJ could you give us some color on the 0.5 million TEUs, like, is that sold or should we see some of that come through in the second half year here?
Jean-Jacques Ruest - Canadian National Railway Co.: So, as you know, there is – all the alliance on the ocean have been reshuffled. These alliance came together basically in the month of April. We'll start to see the discharge shaping up in May. I wouldn't say necessarily that at this point it's not about contract moving from one railroad to another, it's about how these alliance will fare against one another in a totally new service that they're offering right now. So, we will see some growth, I can't quite quantify at this point to how big that growth will be, but we see the second half as constructive. That's partly why we have a guidance that we have.
Turan Quettawala - Scotiabank Global Banking and Markets: Thank you very much. That's very helpful.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Luc Jobin - Canadian National Railway Co.: Thank you, Turan.
Operator: Thank you. The following question is from Brandon Oglenski from Barclays. Please go ahead.
Brandon Oglenski - Barclays Capital, Inc.: Hey, good afternoon, everyone, and thanks for taking my questions. Luc or JJ, can you just talk about the competitive landscape? We heard from your peer last week about how they're going to compete pretty aggressively to get back some of their natural share that they feel maybe is another network today and obviously there's a lot of growth coming to ports too and you guys have a history of really outgrowing markets. I mean, I guess in light of a more service-focused competitor, do you think you can maintain a profile into the future that can consistently be macroeconomic outcomes?
Jean-Jacques Ruest - Canadian National Railway Co.: Yeah, we're very confident about the quality of our product and the supply chain services that we does resonate with customers. This question of natural market share, I think, now is getting an old story, it's been around for a while. And eventually the proof has to be in the pudding and maybe the last pudding was Yang Ming who decided come our way. So, I think the series of gains should speak for itself and it's like – I guess it's like playing football, right? So, eventually as a quarterback, in my case, it'd be offensive if we were expected to win game, and if you don't win game eventually you've been asked to sit on the bench. And everybody win games, we try new different games. It doesn't mean that our track record is going to be sincerely affected by that. Now, we're confident that the story should keep running.
Luc Jobin - Canadian National Railway Co.: I'd certainly echo JJ's comment, Brandon. I mean in our book, I mean everything is very competitive out there, there's no question about it. And then we never underestimate our competitors. Suffice it to say though that we continue to invest in improving our product. And so we encourage people to sort of play catch up to us, but we're playing our own game and we're deepening our competitive advantage every day, that's what we do, that's what we like to do, and that's – it's proven that our customers are rewarding us accordingly. So, one can never guarantee that you always have the upper hand, but when you take the long view, when you deliver on the short game, usually things go your way. So, we'll leave it at that. But high level of confidence. We're not cocky here, but we earn our business the old fashion way, we earn it every day by giving our customers the best service we can. Thank you.
Brandon Oglenski - Barclays Capital, Inc.: Appreciate it. Thank you.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Operator: Thank you. The following question is from Fadi Chamoun from BMO Capital Markets. Please go ahead.
Fadi Chamoun - BMO Capital Markets (Canada): Good evening, guys.
Luc Jobin - Canadian National Railway Co.: How are you doing, Fadi?
Fadi Chamoun - BMO Capital Markets (Canada): Great, thanks. So I wanted to maybe if you can, JJ, dig a little bit deep into this conversion of volume to revenues. We noticed the freight revenue per RTM declined I think 3% adjusted for currency, were there mix issues going on this quarter because you mentioned the price was pretty strong?
Jean-Jacques Ruest - Canadian National Railway Co.: Yeah. So, some of our areas of growth and I think you even know enough our business to relate to that is, we had a lot of growth on the long haul grain, Canadian grain, Canadian grain is long haul from the prairies to the coast, lot of long haul business growth on potash. We have been successful diverting business from the West Coast terminal to Saint John and New Brunswick, that's very long haul, that's great job by Mike. We also had lot of long haul grain business success in sand. Sand going to Western Canada from Wisconsin, crude to the Gulf. And most of the commodity I just mentioned moves in private equipment, so their revenue per car is (32:42) is the customer supply the equipment, not us. So, lot of long haul business and that's been probably some of our biggest areas of growth and it explains the very divergence between carload and RTM, and of course, also the revenue per car and the cent per RTM.
Fadi Chamoun - BMO Capital Markets (Canada): Thank you.
Luc Jobin - Canadian National Railway Co.: Thank you, Fadi.
Operator: Thank you. The following question is from Ken Hoexter from Merrill Lynch. Please go ahead.
Ken Hoexter - Bank of America Merrill Lynch: Great, good afternoon. Just wanted to, I guess, delve into the on the productivity side, you were talking about before, Luc, the employees have started to rise sequentially, you talked about buying more locomotives, your fuel efficiency maybe taken a little bit of a tick down, does that mean we've passed the peak of efficiency gains or is this just as the volume starts coming on at double-digit pace on RTMs, so you've got to restock on the employee side and that's just kind of reloading on that side to get ramped up?
Luc Jobin - Canadian National Railway Co.: Yeah. I think – good question, Ken. I mean this is – again, I'll point in the direction of what we've always done. So, we're not changing our spots. What we're trying to do is to adjust our resource levels, whether it's the employees, whether it's a locomotive, the capacity, the cars, the car supply and so on and so forth, on the basis of where we see the business heading. So, the challenge that what we lay out for the team is, we want to grab this business, we want to be able to service it better than anybody else out there but we want to do so with a high level of efficiency, and that's the challenge that we lay out on Mike and his team. So, as we start to look for the balance of the year, and in fact we're starting to look into 2018, that's what we're trying to do, is ascertain what's the best pace to actually strike that balance. And as I said, I mean, our level of confidence in terms of looking out over the next 12 months or so is as high as it can be. Of course the second half, once you start to get into the second half, you have a little bit less visibility, but we want to be positioned for continued growth. At the same time, we don't want to go too far out into investments and lack of – or less productivity. But that's a balancing act, it's a very delicate balance. Mike, you want to talk a little bit about – give a little more color?
Mike Cory - Canadian National Railway Co.: Sure. Just kind of start with the fuel productivity, we're actually 3% more fuel efficient this quarter. And again, I mean, I got some basic principles that I follow when we talk about efficiencies. We're trying to run the biggest, heaviest train in line with meeting the customer demand. So our focus isn't so much on any particular part of the asset equation other than to try and minimize the use of them. To Luc's point, we're not on any hiring sprees, we're not on any fast, quick spend in order to attract business. We, first of all, try to incorporate it into what we have and then we methodically take a look at how we do it the cheapest way possible.
Ghislain Houle - Canadian National Railway Co.: Maybe I can add to this, Ken. I mean, when you look at employee productivity, in terms of million GTMs per employee, it was up 14% in the quarter. And then when you look at our operating ratio, and I referred to that a little bit in my comments, the OR is up 50 basis points, but if you exclude, and we had given you a visibility on this, when fuel prices were going down, it was helping the OR and we were telling you before that the heads up, when fuel prices are going to go back up, then it will be a headwind in terms of OR, and in this quarter, it was, in the tune of 260 basis points. If you adjust for the increase in fuel prices, then our OR was actually down from last year by 210 basis points. So I think the – we're very proud of productivity. I think the numbers are out there in spades that we did deliver in light of a more normal winter versus last year. And yes, employees on a sequential basis are starting to be up a little bit versus the end of the year because the volume is coming up, but it won't be on a one-to-one basis, and trust us, we're not going to keep our eye off the ball in terms of productivity.
Luc Jobin - Canadian National Railway Co.: Yeah. And it's not as smooth a line as we'd like to see. So I think, again, I mean, I think the confidence that we have in the team is to actually say, you know what, let's build up the next level of resources. We may need to have more train starts. We may need to have more crews, and that's all right, because we need to continuously go and get the business, earn it and sustain it. But then the challenge on the team is to say, okay, well, we're working at that level now, so how do we get better at it, how do we continue to innovate, evolve the product both from a service standpoint as well as an efficiency standpoint? So, with those levels of GTMs and RTMs that we're seeing, clearly it will call for more resources, but you can certainly count on our commitment to continue to seek out and achieve efficiency gains along the way. They just may not be exactly of the same magnitude as the first quarter, but by and large, again, we're not running the business for a given quarter, we're running the business with a slightly longer-term perspective. Having said that, we're not giving anyone a holiday on efficiency gains.
Mike Cory - Canadian National Railway Co.: So, and just one last point of clarification, Ken, we're hiring -whatever craft it is, there is a couple of quarter lag in terms of training and development and then we, to Ghislain's point, it's not one through one, it's mostly on attrition.
Ken Hoexter - Bank of America Merrill Lynch: Truly appreciate all that insight. Thank you very much.
Luc Jobin - Canadian National Railway Co.: Thank you, Ken.
Operator: Thank you. The following question is from Walter Spracklin from RBC. Please go ahead.
Walter Spracklin - RBC Dominion Securities, Inc.: Yeah. Thanks very much. I was wondering if we could turn the question to technology. That CapEx spend is – yes, up a little bit, you talked a bit about locomotive purchases. But can you talk about perhaps, Mike, I know you've discussed it a lot, and Luc, I think it's part of your key mandate, is what opportunities do you see out there from a technological standpoint, what ones are you investing in today and how far a lead time can we see results of those type of investments? Is it something we have to wait years for the development to come along or is it something that we can see come into your margin, your efficiency in the – sooner rather than later?
Mike Cory - Canadian National Railway Co.: You know us, Walter, we're very urgent, yet we're patient to do it right. So, if we talk about technology, I mean, high level, we're talking as much automation, as much less human interaction as possible, first of all, from a safety perspective and a quality of job perspective, and then you tie in the reliability and the efficiency with that. So, we've already embarked down that road in various components of our mechanical, whether it's reliability or, again, trying to understand the lifecycle and get the part out before it actually gets us. In terms of engineering, we look at it from both a tactical and a planning mode. You can rest assure that we're obviously into getting as much big data, predictive analytics, these are things that are in the blender right now. How far out? We've internally looked at horizons that we want to introduce and get the technology bedded down, we're not there yet. But that's a big, big, big focus for us as we go forward.
Luc Jobin - Canadian National Railway Co.: Yeah. And to add to what Mike was saying, Walter, there really are at this point a couple of components. The first one is meeting the mandate for PTC. So, as you look at the CapEx this year, we've got about CAD 400 million of capital that's going to be deployed to get us along the way to our objectives of 2020, with the checkpoint in 2018. So, a lot of our capital which is currently being deployed behind technology is heading in that direction. And job one there is going to be to actually achieve the PTC mandate with the least amount of disruption to the capacity and the velocity of our U.S. franchise. So, that's really job one. Having said that, there are a number of other initiatives and Mike referred to some of them, where we are looking at deploy more technology in terms of automation, in terms of leveraging a lot of the potential of our scale and scope in terms of making continued improvements. And that's not just in terms of cost, that's actually in terms of safety, and that's also in terms of how we improve the product for our customers. So, the capital will start to build up once we get into 2018 and I would say probably over the next five years, we're going to see a little more capital going that way. There is, as you rightfully point out, there is a lead time. I mean, before we can actually get some of the data architectures, some of the systems and we're looking at some of the business processes, we see a lot of opportunity and what we're going to try to do is to prioritize, some stuff is a little bit longer to bring on broad, so there is lead time. But Mike, Serge Leduc, our Head of IT and OT and the whole team, we've been looking at this. And what we're going to try very much to do is to move quickly on the low cherries and certainly in the areas of automation, I think there is a potential to get some wins sooner, while at the same time, putting down some key infrastructure, getting some additional talent to get us to exploit more fully the potential that we see out there. But that's – I mean this is going to be a journey and something that you will see us starting to build momentum as we get into 2018 and beyond, that's not to say we're not busy at it today, but we are in the process of accelerating, formulating those plans, accelerating the delivery of those plans as we speak. So it's very much top-of-mind, and we're going to be able to give you little bit more insight when we get into our Investor Day coming up in June, and obviously, more to come over the next 12 months or so. More clarity – a little more clarity around all of that. So that's kind of where we are, Walter.
Walter Spracklin - RBC Dominion Securities, Inc.: All right. That's great color. Thanks, Mike. Thanks, Luc.
Luc Jobin - Canadian National Railway Co.: Thank you.
Operator: Thank you. The following question is from Ravi Shanker from Morgan Stanley. Please go ahead.
Ravi Shanker - Morgan Stanley & Co. LLC: Thanks. Good afternoon, everyone. Luc, I mean you said at the end of your comments that you're encouraged by a few end markets, and to a lesser extent, crude. We're hearing about a potential opportunity here for crude by rail in the second half with the ramp in production out of the Alberta oil sands, but without the pipeline capacity to move it. Are you hearing something similar? Does that give you encouragement for the second half of the year? And do you have the capacity to manage those volumes when they come on?
Luc Jobin - Canadian National Railway Co.: All right. Well, I'll ask JJ maybe to comment and then I'll supplement so.
Jean-Jacques Ruest - Canadian National Railway Co.: Yes, Ravi. So I mean, as you know all the capacity exist today, there is ample loading capacity in Western Canada, ample unloading capacity at the different refineries of North America and the tank car fleet and crude in North America is huge. So we do have the capacity to move, if there is a market. At this point, as you know, the spread between WTI and Western Canada Select is quite small, because there's some production problem issues in Alberta. So this is all a speculation of what might happen, because it's not quite there today. There is some of our customers who think that the production in Alberta might be sustained, it might outstrip, put pressure on the pipeline capacity some time if it's not this year well next year. At this point we're not extremely bullish on it, in terms of our planning base, but if there is a demand, we can definitely meet it, because most of these assets are customers' assets and they're already in place.
Luc Jobin - Canadian National Railway Co.: Yeah. And then – and just to add a few comments. Ravi, I mean this is a good example of some of the commodity sectors where the visibility is just not that great. I mean, it depends very much on where and how the spot moves, and what is the capacity and where is this crude looking to go. So, there are certain sectors of the business where we have higher level of confidence and we can see the contour of the volume. In this case, it's a little bit more of a not quite a spot market, but it's much more volatile. So, I hope this helps you get a better handle on it.
Ravi Shanker - Morgan Stanley & Co. LLC: Yep. Very helpful. Thank you.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you, Ravi.
Luc Jobin - Canadian National Railway Co.: Yeah.
Operator: Thank you. The next question is from Steve Hansen from Raymond James. Please go ahead.
Steve Hansen - Raymond James Ltd.: Yes. Good afternoon, gentlemen. Just a quick follow-up question on your recent market share gains, where it does strike me that we've seen a large cluster of wins here and I'll say a pretty condensed period of time at least the last three quarters, four quarters. And just trying to get a sense for the remarks, has there been a deliberate shift in strategy to chase your competitors' business or is it just a function of the timing of the contracts coming up for renewal? And I guess there's a follow-on to that, should we expect more business to be had in the same fashion, in other words are you chasing more contracts and do you have the ability to handle it?
Jean-Jacques Ruest - Canadian National Railway Co.: Okay. Thank you, Steve. So, some of it is not really customers contract related. If you look at Canadian grain where we moved 55% of the grain in the first quarter, that was up from 51% the year before. So these are not necessarily contract situation. They're more about the execution on a different grain plant. And the same thing on potash, as you know, potash contract for the West Coast, a very long-term contract for both Canadian railroad (47:38). So the strategy there was to look for other export terminal that could get potash to market like Brazil or more of the Atlantic side, and with the success of the Saint John terminal, nothing related to contract, but you've seen significant diversion of product that would have been usually exported (47:57) West Coast under the (47:59) contract now going to the East Coast under CN. And then in intermodal, I did mention the three – all these things typically are probably 12 months, 18 months, 24 months in the making and the timing of those has to do with when the contract come up. So we do have a strategy to grow and outperform the economy. So in some cases, it's the product that we do with Mike, and in some cases some customers who like the service that we offered are like to come on our side and some of it has to do with being Johnny on the spot, like when drilling activities or crews start to kick up, that we actually exploit it as opposed to miss it.
Luc Jobin - Canadian National Railway Co.: Yeah, Steve, I mean, and I think as JJ pointed out, I mean, it's not one single thing, it's doing all of these things and we have been very successful at listening to our customers, understanding their challenges, their needs, and then turning around and putting it as a challenge to the team, so how do we actually innovate? How do we change the product? How do we reconfigure? And that takes time, that takes a certain level of credibility and dialog in the customer relationship and certainly quite confidence that the team can not only earn the business or, well, move, but actually sustain a level of performance which is where the customer is expected. So it takes a while, once the momentum starts to build and the team starts to really do all of these things well, you've got a – it's a nice flywheel. And we don't – again, we don't take it for granted. There are challenges are out there, and certainly, best example was the winter we had. The resilience we demonstrated in winter conditions and still delivering against a grain plan which was redesigned from the ground up this year is a testament to again pulling all the levers, doing all of these things well. That doesn't mean that we can't and we don't have some challenges at time and that doesn't mean that the world's standstill, but that's what gives us forward momentum. And so, this – we didn't wake up one day and say we're going to chase business. This is a concerted effort, an integrated team to build the product, to build better understanding of the customers and to try to deliver more consistently a product that is difficult to replicate. So, frankly, from the sounds of it, you may think that we've achieved it, we're not satisfied. So we're still pushing the envelope and we still see opportunities out there. And so, I think the walk away feeling you should have is the sentiment that what we have is a sustainable level of performance, and that's what we're going to continue to work to build upon.
Jean-Jacques Ruest - Canadian National Railway Co.: Definitely sustainable.
Steve Hansen - Raymond James Ltd.: Fair enough. Thanks.
Jean-Jacques Ruest - Canadian National Railway Co.: Thank you.
Luc Jobin - Canadian National Railway Co.: Thank you, Steve.
Operator: Thank you. The following question is from Brian Ossenbeck from JPMorgan. Please go ahead.
Brian P. Ossenbeck - JPMorgan Securities LLC: Hey, good evening. Thanks for taking my question.
Luc Jobin - Canadian National Railway Co.: Good evening.
Brian P. Ossenbeck - JPMorgan Securities LLC: So just had a quick one on incremental margins, carloads are up 9%, RTMs 14%. You mentioned the impact of weather this quarter and it sounds like mix might have been a bit of a headwind as well. But looking at incremental margins that are in the mid-30s I guess, but I'm assuming that impact from fuel this quarter. So just wondering if there is a better way to think through the operating leverage than what we've typically used in the past, obviously it sounds like fuel is going to be a headwind on OR throughout the rest of this year as well?
Ghislain Houle - Canadian National Railway Co.: Yeah, Brian, it's Ghislain. I must commend you on your math, because actually when you look at incremental OR, and if you do adjust for fuel in the quarter, then our incremental OR was 35% in the quarter. So right there that demonstrates to us that we were very productive. And again, as I said in my remarks, if you look at OR on a full-year basis, if you do assume that fuel remains about where it is, then we think it will impact OR in the tune of about 50 basis points to 100 basis points.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay. Thanks, that was my question.
Luc Jobin - Canadian National Railway Co.: All right. Thanks, Brian.
Operator: Thank you. The next question is from Scott Group from Wolfe Research. Please go ahead.
Scott H. Group - Wolfe Research LLC: Hey. Thanks. Afternoon, guys.
Luc Jobin - Canadian National Railway Co.: Afternoon, Scott.
Scott H. Group - Wolfe Research LLC: So JJ, I wanted to go back to the question that someone asked about the yield growth in the quarter. I'm not sure I understood, because I know you talked a lot about longer length of haul, I would have thought that that would have helped yield at least on a revenue per carload basis. So when RTMs are up so much more than carloads like we saw this quarter, typically I think that helps yields again on a carload basis. Doesn't feel like we saw that this quarter, so maybe just help us kind of bridge the gap of the mix benefit of RTMs going faster, pricing going up, like yields kind of ex-fuel, ex-currency only up flat, up 1%. Is the new business coming on at much lower pricing, maybe just help me bridge the gap here?
Jean-Jacques Ruest - Canadian National Railway Co.: So, there is a lot of moving parts, one was exchange and then one was fuel. And then the length of haul, the new business that we have, quite a bit has been long haul, crude by rail, private equipment, long haul, Canadian grain mostly to export long haul, potash, very long haul, private equipment, frac sand, a lot of the it long haul going to Western Canada from Wisconsin, all private equipment. And then there has also been some short-haul business that we lost. Remember we lost the VPA contract, that was high revenue – the say, high sand per RTM, low revenue per car, huge amount of carloads. Our iron ore business, the first quarter is up as well up to a point, that's very short distance. So you have all these many, many puts and takes and that's the challenge when you add all of these apple and try to make juice out of them, you really have a mix that probably doesn't say very much in terms of yield. What really – I mean, we focus on yield, we focus on operating ratio. We look at a specific OD pair, we look at the revenue to cost ratio of that OD pair, which is the reverse in operating ratio. If it's a piece of equipment the way I supply the railcars like moving steel or moving pulp, I'm looking for contribution per car day. And these are really the one that really drive yield as you know the true yield, the bottom line yield, the one that generates an ROI for the company, because the cent per RTM and the revenue per car, there's such a wide range of things that go into that that create mix, it's hard to make any conclusion for that.
Luc Jobin - Canadian National Railway Co.: And I think, again, part of the components, Scott, is how the volume is growing in terms of private equipment. So that alone is great business and good OR and good contribution, but it is obviously significantly less than if we were providing the equipment. So it's down to the mechanics of the mix, and the good news and what you should be hopefully comforted with is what JJ is telling you, which is we do the homework. We actually work it through and look at it through multiple lenses that best reflects where and how we are getting a satisfactory return on the business we're bringing onboard.
Jean-Jacques Ruest - Canadian National Railway Co.: And that's why it's flowing through to the EPS, the OR and the free cash flow. All this incremental business was helping the bottom line very much so.
Scott H. Group - Wolfe Research LLC: Okay. Maybe I'll follow-up with Paul offline on that point, but have you said if – or do you look at it this way, is the incremental business coming on at higher or lower kind of revenue per car in average?
Jean-Jacques Ruest - Canadian National Railway Co.: Again, we actually go down by commodity by commodity or we're talking the crude, the sand, the lumber which didn't move very much in the quarter. I mean, you have to go down to something more narrow, a more specific segment, the segment of commodities or customers that have enough in common to be comparable, as opposed to add iron ore with long haul potash.
Luc Jobin - Canadian National Railway Co.: All right. Well...
Scott H. Group - Wolfe Research LLC: Thank you.
Luc Jobin - Canadian National Railway Co.: Very good, Scott.
Operator: Thank you. The following question is from Allison Landry from Credit Suisse. Please go ahead.
Allison M. Landry - Credit Suisse: Good afternoon. Thanks. So I just wanted to follow up on Scott's question. So I'm looking at the revenue per RTM in cents. Basically in aggregate and pretty much for every commodity type with the exception of forest products which was flat, you had down year-over-year comps on this metric. So I'm a little bit confused I guess about your comments about having a longer length of haul but this metric being down across the board, and then you sort of mentioned that part of it might be due to whether or not you own the equipment for these moves. Am I understanding that correctly and if not, what am I missing?
Jean-Jacques Ruest - Canadian National Railway Co.: So take a comparable, take, say, crude by rail, which all moves in private equipment. We move more crude by rail. And in the crude by rail you will find that if we were publishing the crude by rail cent per RTM on the crude by rail or revenue per car, you would find that that business has moving volume and the pricing is positive. But when you combine crude by rail with plastics, with chemical, with chlorine, with ammonia, you're really looking at things which are not comparable, and now you're trying to draw a conclusion from that. And that's what I'm just I am saying is, when we look at the yield on the same account, same OD pair (58:36), if it's private equipment, revenue to car, RCRs; if it's rail (58:41) equipment, contribution per car day, and that's how we measure yield as opposed to add things which are not the same and therefore, all you have is something that does not – has no correlation to the profit yield of the business.
Allison M. Landry - Credit Suisse: Understood on the last point, but maybe thinking forward, would you expect the freight revenue cent RTMs to continue to be negative?
Jean-Jacques Ruest - Canadian National Railway Co.: It will depend on which of our business is growing, because I think what you're looking at is, at the business unit level, in a business unit level, you have a lot of different commodities and different car type for different customers that moves in these average. So it will depend of which account is growing, which commodity, and is it private equipment. Like sand is private equipment, it's in metals and minerals, but steel is not moving in private equipment, it's moving in railroad cars, and obviously right there you have an apple and a banana in the same business unit.
Allison M. Landry - Credit Suisse: Okay. Thank you for the time.
Operator: Thank you. The following question is from Tom Wadewitz from UBS. Please go ahead.
Luc Jobin - Canadian National Railway Co.: Hey, Tom.
Paul A. N. Butcher - Canadian National Railway Co.: I guess we lost them, John.
Operator: Mr. Wadewitz, your line is open, sir. Getting no response, we'll move on. The following question is from Bascome Majors from Susquehanna. Please go ahead.
Bascome Majors - Susquehanna Financial Group LLLP: Yeah. I wanted to follow up on an earlier question about capacity. It sounds like there's not significant pinch points in your network yet, but as you look broadly across the North American rail network, are you seeing certain interchanges with other carriers start to get a little tight or any really pockets where you think capacity needs to be addressed more broadly to keep the network fluid?
Mike Cory - Canadian National Railway Co.: It's Mike here, Bascome. Overall, the answer would be no. But when you take weather and put it into the equation, and you take the upswing in traffic that we experienced, the Western Canadian corridor, not so much for us, but other carriers, there was difficulty. For us, we look at a long view on this and we've already plotted out, I could say, the next five years, dependent on the growth JJ and the team bring, where we know where our pinch points are and we get to them beforehand. Now, we don't do that before we innovate, change what we're doing. We do everything we can to prevent the expense of capital. However, our Western Canada corridors are heaviest, and it's really probably not a lot different for some of the other carriers, and that's where there were some capacity issues that were experienced. But overall, no, we don't have any issues with interchanges spend and with our own network in terms of pinch points.
Ghislain Houle - Canadian National Railway Co.: And Bascome, this is Ghislain. Remember, you hear a lot of our peers complaining about congestion in Chicago and this is where our EG&E (01:01:46) line, which is fully connected with our network, is helping. So we love Chicago, we like it and we're very fluid and we'll be fluid for the next 50, 75 years in Chicago.
Mike Cory - Canadian National Railway Co.: Lots of capacity there.
Bascome Majors - Susquehanna Financial Group LLLP: All right...
Mike Cory - Canadian National Railway Co.: Well, that's interesting you say, you're not going to be around for 75 years, Ghislain.
Ghislain Houle - Canadian National Railway Co.: I hope I will.
Luc Jobin - Canadian National Railway Co.: You're building for it. Thanks, Bascome.
Bascome Majors - Susquehanna Financial Group LLLP: Thank you, guys.
Luc Jobin - Canadian National Railway Co.: Thank you.
Operator: Thank you. The next question is from Jason Seidl from Cowen. Please go ahead.
Jason H. Seidl - Cowen & Co. LLC: Thanks, guys. Only one from me. You talked a little bit about international intermodal, talk about the domestic side and where you see demand?
Jean-Jacques Ruest - Canadian National Railway Co.: So demand, we're more exposed to the Canadian market and we do some cross-border. It's – we've seen some improvement in our carload, in our container movement if you wish. And it's okay, it could be better, if we were to strip some of the gain and that some of the gain I mentioned, it would not be as strong. The cross-border business is still very competitive, partly because our exchange rate, partly because of the very strong competition from the highway. So, domestic intermodal, all-in, what are you competing with other mode or over the – or the same mode, it's still quite for competitive. But we have positive growth and I think we are doing as good as the economy is but if not slightly better.
Jason H. Seidl - Cowen & Co. LLC: Okay. Thank you for the update, gentlemen.
Luc Jobin - Canadian National Railway Co.: All right. Thanks, Jason.
Operator: Thank you. This concludes the Q&A, I'll turn the meeting back over to Mr. Luc Jobin. Please go ahead, sir.
Luc Jobin - Canadian National Railway Co.: All right. Thank you, John. So, thank you all for joining our first quarter-end call. I think hopefully you've gotten a lot more clarity and color around the strength of our performance in the first quarter as well as how we continue to build momentum and continue to improve our product and the prospects that we have on the way forward. So, we're pretty excited about the opportunities that we see out there and I think the team has put out some very constructive guidance and more color around where and how we see us continuing to grow and to perform for our customers and then ultimately how that comes down to the bottom line for our shareholders. So, we do look forward to catching up with you as we will have our second quarter call in July, as well as for those of you who will be joining us at our Investor Day on June 12 and June 13, we look forward to also giving you a little bit more insight into what's the secret of the Caramilk at CN. And we can't give you all the secrets, but we will try to give you a quick preview in terms of how we continuously are trying to reinvent ourselves and continue this great journey. So, thanks very much and be safe. Thank you.
Paul A. N. Butcher - Canadian National Railway Co.: Thank you for joining us.
Operator: Thank you. The conference has now ended. Disconnect your lines at this time. And thank you for your participation.